John Dolan: Hello everyone and welcome to the PetVivo Holdings Second Quarter 2022 Financial Results Conference Call. My name is John Dolan and I'm the Chief Business Development Officer and General Counsel at PetVivo. Today's call is being webcast and will be posted on the company's website for playback. Before we begin, I would like to remind everyone that comments made during this conference call by PetVivo's executives may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. PetVivo's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. PetVivo assumes no obligation to update any such forward-looking statements. PetVivo filed its 10-Q and earnings release with the SEC today, which provided detailed discussion of our financial results. Both of these documents can be found in the SEC website and the Investor Relations section of our website. Now, I would like to turn the conference over to John Lai, the CEO and President of PetVivo. John, please go ahead.
John Lai: Thank you, John and walk them through our first conference call as a NASDAQ company. Joining me today will be Bob Folkes as our Chief Financial Officer. I would like to begin by discussing some of the highlights of last quarter and Bob Folkes will discuss the financial results and financial conditions in greater detail. I will conclude by sharing additional thoughts on our business strategy and key focus areas for the second half of fiscal 2022 before we open the line up for questions. Our key highlights last quarter were we raised $11.25 million approximately, and a registered public offering of units, which we closed on August 13th, 2021, up listed to NASDAQ in connection with the registered offering. And we trade under the symbol, the common stock trades under the symbol PETV and the Warrant trade under the symbol, PETVW. We also made a decision to rebrand our key product name for treating osteoarthritis from Kush to Spryng and commend sales using the Spryng name and branding. Made several key hires to strengthen our management team. These were very important pieces to get us into the position of manufacturing and sales. So, one of our key hires with Brandy Meyer became the Chief Operating Officer from the manufacturing standpoint, John Dolan, VP of Business Development and Corporate Counsel, Mark Middleton, National Director of Sales. He has 35 years of veterinary sales experiences, his last company Animal Health International. They, I think, hit $800 million a year in revenues in terms of veterinarian devices. Russ Siakel, our Director of Marketing comes from Pfizer Animal Health, which is latest Zoetis and also Boehringer Ingelheim, BI, second largest veterinary products company in the world. And he has a strong, over 30 years of experience in marketing of veterinary products. Dr. Ann Zieser. She is our Senior Vet for companion animals, small animals, once again, over 30 years of practice experience, and dealing with dogs and cats and other smaller animals. And then we recently hired Dr. Joe Manning, as a Senior Vet in the equine space. He brings over 35 years of experience in dealing with equine products from a pharmaceutical to a biotech area. He was with Merck Animal Health as a senior vet there. Josh Wilhelm, Director of Manufacturing. He's dealt with our particles for many years and was at several very large medical device manufacturing, where they had to deal with similar particles and products in syringe fulfillment and delivering a product. So, he brings a very good team with them. We have hired four additional production people to work under Josh's direction. I would now like to turn over to Bob Folkes, our Chief Financial Officer, who will discuss our recently completed register offering and financial conditions. Bob?
Robert Folkes: Thank you, John and good afternoon, everyone. The most significant event from last quarter was raising approximately $9.8 million in net proceeds from our registered offering. In addition, one of our directors converted $196,000 in debt into equity at the closing of the offering. We used approximately $100,000 of the proceeds to repay certain corporate debt and payables. So, as of September 30th, we ended the quarter with over $8.8 million in cash. Now, we are using the net proceeds from this offering to expand our sales and marketing efforts to gain vet acceptance and generate revenue from the sale of Spryng. John has already commented on the team we added during the quarter, and we also engage Kick as our advertising agency across multiple marketing services disciplines. And again, John also touched on our manufacturing team. So, we added key members to the team to ensure our production capacity to support our launch of Spryng. So, now I will turn it back the call to John.
John Lai: Thank you, Bob. So, I like to talk more about the future, the strategy and the key focus areas for the second half of 2022. Let's talk about Kick. Kick was instrumental in helping us determine that we needed to change the name from Kush to Spryng, because too many people associated with cannabis products. Now that we have changed the Spryng, we're getting good adoption, we're getting good feedback. And that with Kick helping us launch into multiple trade shows, we have, I believe, about 19 trade shows that we're looking to schedule to attend, because that was one of our key focuses with the raise of this capital was to spend it on sales and marketing. We're all -- we're still on path to hire multiple salespeople under Mark, with these salespeople will have extensive sales experience. We're looking anywhere from six to eight over the next 12 months. We got trade shows pretty much every month of this -- of the year going forward. And these shows initially will be focused more on equine, but the major show in Orlando is the VMX, which is the largest show of the year, and that would be the second week of January. So, we'll have a full staff of small animal as well as equine, salespeople and management team down there to help spread the word on the product, because there's an educational process that's going on.  We're going to also be looking at expanding sales channels to partnerships, doing additional studies beyond the Colorado state study for both equine and canine. And we also started launching commercials about a week ago on -- to the consumers on CNN, MSNBC, Fox, Fox Business, as well as Newsmax. So, we're also going to start the bulletin board or the boards at the subways and the New York train stations. Basically we'll have 15 second commercials running, on those boards so that we believe all these strategies will help drive the consumer as a call to action, to contact events. And we have multiple strategies that the salespeople and marketing will be targeting certain vets at the various trade shows and doing white papers as well as doing the various podium presentations. So, with that, I will let the operator open it up to Q&A.
A - John Dolan: All right everyone. For questions, if you have a question for either Mr. Lai or Mr. Folkes, please raise your hand, please raise your hand. I'll let you in. I'll let you in, allow you to talk and then I will allow the loudest speaker to end up answering your question. Does anyone have any questions? See, our host [ph] I am not seeing any of the hands come up as of yet. Do you see anything? Can I ask for your assistance?
Unidentified Company Representative: Sure. I'm not seeing anybody who raised their hand either. It looks like nobody has any questions.
John Dolan: Perfect. Anyone -- does anyone have any questions? If no questions, I'd like to thank everyone. At this time, I'll turn it back to Mr. Lai for any closing remarks.
John Lai: Well, I'm surprised we don't have any questions. But with that being said, I think the numbers were pretty much within the realm that we had indicated as we were doing the road shows on the offering. And with that, I'm going to call to a conclusion of this shareholders conference call unless somebody raises their hand in the next 10 seconds. Well, John Dolan, I'm going to turn it back to you to call the end of the conference call.
John Dolan: All right. Everyone thank you so much for listening in on the conference call. Again, our information is all on this particular website. If you'd like to rehear this webcast, the log-in -- that you ended up log-in into is the log-in that you can end up rehearing what Mr. Folkes and Mr. Lai stated today. So, if there's nothing else, thank you again for joining into our call. Thanks again. Bye everyone.